Operator: Greetings and welcome to the Huntsman Corporation's Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] I would now like to turn the conference over to your host, Ivan Marcuse. Thank you. You may begin.
Ivan Marcuse: Thank you, Rob and good morning, everyone. Welcome to Huntsman's third quarter 2024 Earnings Call. Joining us on the call today are Peter Huntsman, Chairman, CEO and President and Phil Lister, Executive Vice President and CFO. Yesterday, November -- last night, November 4, 2024, after the U.S. equity markets closed, we released our earnings for the third quarter of 2024 via press release and posted to our website, huntsman.com. We also posted a set of slides and detailed commentary discussing the third quarter on our website. Peter Huntsman will provide some opening comments shortly and we will then move to the question-and-answer session for the remainder of the call. During the call, let me remind you that we may make statements about our projections or expectations for the future. All such statements are forward-looking statements and while they reflect our current expectations, they involve risks and uncertainties and are not guarantees of future performance. You should review our filings with the SEC for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter. We will also refer to non-GAAP financial measures such as adjusted EBITDA, adjusted net income or loss and free cash flow. You can find reconciliations to the most directly comparable GAAP financial measures in our earnings release, which has been posted to our website, huntsman.com. I'll now turn the call over to Peter Huntsman, Chairman and CEO.
Peter Huntsman: Hi, Ivan. thank you very much and thank you all for taking the time to join us this morning. We got quite a few people online for questions. So, I am just going to be very brief. The third quarter ended about where we expected it to finish and we're now focused on the fourth quarter and year end. But we expected the year to be better than it's shaping up to be. There's still a number of positives as we move from quarter three to quarter four at year end. As we said to many of you during our investor conferences, an improvement in North American housing and construction will be the single most impactful change in our earnings. And harder to see that interest rates are dropping in both U.S. Presidential candidates for making new housing a major part of the economic platform for improvement. We are hopeful that another rate cut between now and the end of the year will continue to improve the VMID [ph] growth we're still seeing today. In addition to falling interest rates over the past few quarters, we've seen a return to more traditional MDI growth that exceeds the rate of GDP growth. As we've said in the past quarters, we need to see demand growth improve and capacity utilization rates increase before we see meaningful margin expansion. The demand growth is moving in the right direction, but I was disappointed to see our recent Q4 MDI price increases get little traction with customers. We continue to see very low inventories across the board and rising demand will eventually support price increases and margin expansion. Additionally, we see a number -- we see a record amount of global chemical assets, especially in Europe that are on the market. I would personally be surprised if all of these assets are sold. So, I imagine very few of these are actually making money. Given Europe's desire to rid itself of manufacturing, which I see reflected in its adherence to anti-growth energy and regulatory policies, I doubt the prospects will change anytime soon. We may well see a number of facilities closed due to a combination of regulatory and high-cost structures. Longer-term, I think there will be a much needed consolidation in a number of chemical products in Europe. Having returned recently from visiting government leaders, customers and partners in Malaysia, China, Saudi Arabia and Korea, I believe that these markets are seeing relatively low growth. but as they continue to sort out their conflicts and housing bubbles, we'll continue to see opportunities grow. 2025 should be a year of gradual improvement across Asia and the Middle East. We continue to look at all of our production sites and examine our cost structures, supply agreements and operating rates. For the end of the year, we will be initiating a further $50 million cost reduction program in our global polyurethanes business. This is in addition to the $280 million in costs we've taken out of the entire company over the past few years. We will continue to manage our way through challenges such as the recently settled Boeing strike, which will cost an estimated few million dollars in the fourth quarter. We'll also capitalize on growing EV battery opportunities, tightening insulation standards, and energy efficiency in home and building materials. While too early to say much about 2025, I believe lower interest rates pent-up housing demand, Asian stimulus announcements, lower inventories and greater political certainty in Europe and the U.S. will all work towards improving market conditions. With that, operator, why don't we open the line up for any questions?
Operator: Thank you. [Operator Instructions] Our first question comes from David Begleiter with Deutsche Bank. Please proceed with your question.
David Begleiter: Thank you. Good morning. Peter, do you expect MDI assets in Europe to be closed in this iteration of restructurings?
Peter Huntsman: I'm sorry, David. I didn't get the entire question. Do I expect?
David Begleiter: Do you expect MDI assets to be closed in Europe in this iteration of restructurings and reviews?
Peter Huntsman: Of Huntsman's restructuring?
David Begleiter: No, of competitors' MDI assets.
Peter Huntsman: Look, I simply have no idea what our competition is doing. As I look around the world, you look at the cost curve in Asia, I think given the size and the relative recent construction of the capacities of MDI in Asia, There's a relatively flat cost curve in Asia. I think Wanhua has an advantage just simply because of the scale and integration that they enjoy. But it's a pretty flat cost curve. I think it's pretty similar in the U.S., where you have a handful of players that all have about the same size facility, single-site locations and so forth. Europe continues to operate multiple smaller facilities and multiple -- across multiple countries. And as I look at that and you look at the raw material costs, energy costs, transportation costs, regulatory costs, everything else across Europe, I'd be very surprised if we're sitting here a year or two from now and all of those particularly, the smaller non-integrated facilities are still operating. But again, I just look at that on a cost curve, U.S. versus Asia versus Europe, and certainly Europe is the outlier. But again, I haven't had any idea what goes on in the competition.
David Begleiter: Very good. And just on your new restructuring program in Polyurethanes, $50 million. Can you detail the functions and regions, where that cost is being removed from?
Peter Huntsman: Yes. Most of that is going to be in Europe. It will be centered around our automotive in construction. We will be giving some more detail about this during our fourth quarter call in a couple of months. But safe to say, this will be about a $50 million cost savings over the next few years. The majority of this ought to be seen by the -- on a run rate basis by the end of next year. And the cost typically when you're looking at these sort of programs, it pretty much costs you the same as the savings. So, there's about a one-year give or take a quarter to a one-year payback on this. Thank you.
Operator: Our next question comes from Jeff Zekauskas with JPMorgan. Please proceed with your question.
Jeffrey Zekauskas: Thanks very much. In the quarter, you received a dividend of $35 million related to the SLIC China JV acquisition. I take it that went through cash flow from operations and are there any more dividends to come from that source?
Philip Lister: Yes. Thanks for the question, Jeff. Correct. $35 million from the liquidation of the Chinese joint venture; you recall, we did that restructuring in the first quarter of this year. We're now moving through the liquidation process. And during the course, we liquidate about $65 million $35 million of that can be recorded as a dividend, which impacts free cash flow of the dividend, which is over and above or below the amount of net income that we've received over the lifetime of the JV, $30 million was simply capital reinjection. There's about RMB 300 million left to liquidate out of that JV. We expect that to occur during 2025. None of that will be recorded as a dividend. It can't be for accounting purposes; and therefore, it wouldn't impact free cash flow.
Jeffrey Zekauskas: And in terms of your -- can you describe your volume expectations in MDI for the fourth quarter in general and by region?
Peter Huntsman: I think that as we look at this, we'll see a seasonal decline that's usually about 15% to 20% depending on year-end inventory stock and so forth. Jeff, I am not trying to evade a direct answer on this, but typically in the middle of November, in the next week or two, we'll start to see just how much people are trying to cut inventories and try to preserve working capital and so forth. And literally, as you start to see this in the last four to six weeks of the year, people will, in some cases, will just stop ordering and they will take their inventories down. Now, I believe that inventories are anecdotally, as you look across MDI, inventories are very low. But some regions of the world, where growth demand is pretty anemic as well. So, I think that we'll see what we typically see during seasonality, which is on a global basis anywhere from 10% to 15%.
Operator: Our next question comes from Patrick Cunningham with Citi. Please proceed with your question.
Patrick Cunningham: Hi. Good morning. So, you mentioned MDI price increases were rebuffed into 4Q 2024. What are your expectations for prices by region in 4Q and what are you reflecting in terms of raw material declines?
Peter Huntsman: Well, I think that as we look at pricing for MDI in Q4, it's looking pretty flat. I mean, as we look at some of the spot markets, there's a little bit of upward pressure in China. But as I look at the spot prices in Europe and the U.S., it fits flat to down a little bit in tracking the cost of benzene. So, I think we will pick up a little bit of benefit from benzene, but that will not wholly, but partially be offset by flat pricing and probably higher natural gas prices.
Patrick Cunningham: Very helpful. And then in Performance Products, you cited sales volume increases in construction, coatings and adhesives. Was this in line with your expectations? Or are you outperforming the market here? Or is this mostly the absence of destocking?
Peter Huntsman: I think in Performance Products, we're right now -- the good side about that business is its margins on a per-pound basis remain fairly strong. Our biggest issue there is around demand. And you typically see again, seasonality in that business like you do other businesses. And so, I'm hopeful that we'll start to see the demand start coming back after the Chinese New Year in particular. But it will be in line with the typical seasonality that we see.
Operator: Our next question comes from Mike Sison with Wells Fargo. Please proceed with your question.
Michael Sison: Hey, guys. Good morning. Peter, for polyurethane, you are getting volume growth. The earnings leverage or EBITDA leverage just doesn't seem to be kicking in yet. What level of volume or sales do you think you need to see to start seeing the appropriate leverage for that business going forward?
Peter Huntsman: It's an excellent question and one that we ask ourselves quite often as well. As we really see in this market, we start getting leverage when capacity utilization gets in the high-80s. Now, exactly what segment of the market does that have to hit and so forth. That's all yet to be determined. But as we look around the world, I believe that the global operating rates are probably in the mid-eighty 5% to 87%, 88%. We might be -- if we continue to see the sort of growth in demand and recovery in MDI that we've seen this past year, I believe that we ought to be seeing some expansion in pricing and margins early in 2025. Again, that's predicated upon demand continuing to improve, particularly in North America around housing. But it's -- look, we're coming off of a very low base of where we were last year. So, when we look at the demand, I'm happy with the demand I've seen in 2024 in MDI, but we need to see that continue to get out of the hole that we got into the end of 2022 and 2023. And of course, during that time period, we've also seen capacity additions that have come into the market. So, I think all of that offsetting each other as we look into 2025. I'm hopeful that as we kick off 2025 post Chinese New Year's, start getting into construction season, hopefully we'll start to see orders in the February, March timeframe start picking up materially.
Michael Sison: Great. And as a quick follow-up on 2025. I know it's a little bit early to give specific outlook. A lot of the consultants do see margin expanding quite a bit potentially. Do you sort of agree with that cadence? And what type of EBITDA potential or power do you think you should see in polyurethanes if things pick up next year?
Peter Huntsman: I think, again, I would agree with that. I mean, as we talk about margin expansion 2025, a lot of that's going to be predicated again, about what sort of demand we see in North America housing. China, we have got to see consumer confidence return and Europe's just got to see some sort of return to some element of sanity when it comes to a manufacturing policy around energy and so forth. We may well see an improvement in North America, because of housing and Asia, because of consumer demand. And Europe continues to lag behind. I do believe fundamentally that we are seeing a lot of capacity utilization that traditionally has been European based, particularly in automotive and probably a couple of other materials that are moving to the U.S., moving to the Middle East or moving to Asia. So, I think that you are seeing a global dislocation from Europe to other regions. And so, you might actually see an improvement take place in North America and Asia before you do Europe. So, I'm not sure that it's necessarily going to be an even tide in all regions simultaneously as we've seen in the past.
Operator: Our next question comes from Vincent Andrews with Morgan Stanley. Please proceed with your question.
Vincent Andrews: Hi, thank you. Good morning, everyone. Your prepared comments on autos, well, certainly, it wasn't what you expected. You did seem to grow in the third quarter and you had stable EU volumes. And it also looked like autos were better for you in polyurethanes versus advanced materials. So, I wonder if you could just comment on all that, particularly the EU piece just given how weak that market seem to be and what the sort of sequential outlook is into the Q4 and maybe, a bit the 25% to the extent, you have a view?
Philip Lister: Yes. Vincent, thanks for the question. So also, it was 3% up year-on-year as you indicate. It was down 6% sequentially. So, we did see a little bit of a slowing during the quarter. If you break down our exposure around the world for auto, which is about 15% of our portfolio, about 40% is into Asia and that's been relatively strong and relatively strong in our polyurethanes division for us. About 30% into Europe, that slowed a little and then 20% into North America, 10% rest of the World. And North America definitely did come off as we went through the third quarter and as we head into the fourth quarter here. I mean, look, we look at the numbers. We had 90 million production builds last year in 2023. I think most of the forecast were about 88 million for this year. So, a little bit down overall. In general, we're agnostic to whether it's ICE, whether it's PEV or whether it's hybrid, and they're able to pick up sales in across either platform. But in general, a little bit of a slower, but in general, pretty good for us in Asia.
Vincent Andrews: And Peter, if I could just follow-up, I'd be curious to get your view on interest rates. I think we all want them to come down. But so far, we haven't seen as much help on the back end of the curve, I think, as people would hope for. So, as you look into 25%, if we get into a situation, where maybe the front end comes down a lot more than the back end of the curve, where do you think that helps you and where do you think that maybe slows down the pace of recovery?
Peter Huntsman: Well, it's got to be able to hit in both areas. One, it's got to be able to hit on consumer confidence and consumer spending. And that singularly has been the engine of growth for the U.S. Economy. Yes, there are a lot of levers to the U.S. Economy. But I believe that the consumer confidence has been probably the biggest differential between Europe, U.S. And Asia has been the U.S. consumer. They continue to spend money on a smaller scale around consumer confidence items, shopping and so forth versus larger scale, which I would consider that to be home buying and as we started, as Phil mentioned, in automotive in the -- particularly in the third quarter. So again, when you talk about that interest rates coming down and that potential bifurcation between interest rates and mortgage rates, we need, one, to continue to keep the U.S. consumer stimulated and spending. We need the other one. More importantly, I believe for our company mortgage rates need to come down to stimulate housing demand.
Operator: Our next question comes from Frank Mitsch with Fermium Research. Please proceed with your question.
Frank Mitsch: Thank you and good morning. Peter, I saw a news item recently about a chemical company doing a capacity expansion of non-PU-based insulation materials, and they're targeting the European market. And the release read positively about future demand for insulating materials in Europe. Now obviously, as I read the prepared remarks and listened to you so far, didn't seem like there was much to get excited about insulating materials in Europe, which obviously would be very helpful for you. What's your take on that market and when might we see a recovery there?
Peter Huntsman: To be honest with you, I'm rather frustrated with Europe, as you could probably tell, Frank. In one of the areas, where you would think with higher energy prices, Europe would be one of the most proactive areas on legislating construction materials and insulation standards. In reality, virtually every state in the United States has a higher and tougher energy conservation standard than most European countries do. So Europe, when they get their act together, they really want to start looking at how do you conserve as much as and put that into an active energy policy. I believe that there is some real upside there. I think that we're sitting in a position. We have blending facilities in Europe. We can make polyurethane spray foam materials. We don't export it from the U.S. We can make it there. We can utilize our own technologies and our own polyols and so forth. And we've got a real opportunity in Europe. But without the correct incentives inducements and regulatory environment, I don't think you'll want to see the sort of growth in Europe that we've been able to see in the U.S.
Frank Mitsch: Okay. Thank you. Very helpful. And in the prepared remarks, there was also comments about looking at possible M&A in Advanced Materials. And given obviously, your leverage is kind of elevated, but that's really more so about the kind of the trough or bottoming levels of EBITDA. But given your stock is close to yielding 5%, what are your thoughts on buybacks?
Peter Huntsman: I'd have to fill well, look, first of all, it's a decision that the Board would be making. But my recommendation to the Board is, I'd have to feel a little bit more confident about free cash flow coming in and preserving that free cash flow. And right now, I want to make sure that we preserve the dividend. And I speak on behalf of the Board saying this, we preserve the dividend, we keep a strong balance sheet, we stay focused on our investment grade ratings. And then when we see an improvement in free cash flow, we'll divvy that up between the potential of share buybacks or M&A.
Operator: Our next question comes from Josh Spector with UBS. Please proceed with your question.
Joshua Spector: Yes. hi, good morning. I was curious on Europe, the deal that's kind of apparent between Covestro and ADNOC kind of has them keeping capacity intact in Europe. Is that an impediment to Europe improving for the NDI market for Huntsman?
Peter Huntsman: I've got -- I'm not again, I'm not trying to evade an answer. I've just got no idea what ADNOC and Covestro would be planning. I assume that between signing and closing, you're not going to want to do no matter what your plans are, you're not going to want to do a whole lot that would antagonize regulators and your labor unions and so forth. So, let's keep everything kind of as is and -- but I'm just speculating at that. So look, I'd always rather see less capacity than more capacity all things being equal, but I've no idea what they're planning to do.
Joshua Spector: Yes, no problem. I think I just thought that there was something where a few years after that would close something had to stay in place, but I'll move on. I guess maybe, sticking with Europe in a different vein, it's just when you've talked about polyurethanes and your earnings power in the past, I think you said when utilization rates are higher, you think maybe a mid teens margin is what you can achieve. I guess with your commentary around demand U.S. and China versus Europe, it seems like Europe would probably lag and also costs are higher. So, I guess the question is, can you achieve that framework if Europe costs stay higher or maybe there isn't any industrial change? Would you have a different answer around Huntsman's earnings power?
Peter Huntsman: I'd like to think that whatever is lost in Europe can be made up in Asia and North America. I think if Europe continues on the path it is now; it's going to have a higher cost structure than the Americas and Asia. And if we see demand, if we see particularly downstream demand, where we have excess splitting capacity in North America and China in both of those locations, this may well give us a greater opportunity to move more production downstream, particularly in China, and earn more per pound in those regions to offset any uncompetitive structure that might exist in Europe. But I think until the reality of the market hits and pricing hits and global trade hits, it's -- I'm just speculating at this point. But I don't believe that fundamentally that there's been any sort of major shift in those dynamics.
Operator: Our next question comes from Aleksey Yefremov with KeyBanc Capital Markets. Please proceed with your question.
Aleksey Yefremov: Thanks. Good morning, everyone. Peter, I wanted to ask you about pricing in MDI. In prepared remarks, you say you don't have much exposure to spot. But I also recall traditionally, you don't have much exposure to contract as well with a big chunk of your business tied to just raw materials pass through. Can you just explain what's the current state of your -- sort of leverage to contract, benchmark contract pricing for MDI that we can observe in North America?
Peter Huntsman: Yes. I think, well, I'll just touch on all three regions. So, I consider and I don't want to oversimplify this, so forgive me. But let's just put it in kind of three buckets. One is, how much is just spot and that's what you oftentimes will read in ISIS or these sort of publications. The other one is going to be around formula pricing. And the other one around, I would say, variable pricing, which is going to be MDI is more than just three buckets of pricing. That variable pricing depending on, if it's pure MDI or if it's a formulated product or whatever, it's going to be all over the place. So, if you look at spot materials, it's typically around 10% Europe, 10% Europe and about 40% in China. If you look at formula pricing, it's around 20% of our total volume globally. That's going to be preponderantly in North America, China; it will be lesser than that. And then that third bucket on the variable side, that's what's coming out of the splitter, for the most part or into formulations or into pure MDI. That pricing is going to be on a contract. It's going to be on a customer by customer. Very little of that is going to be throughput pricing. And that's going to be on a negotiated basis customer to customer. So that's kind of the three buckets. I do think people have a tendency probably to read too much into published pricing. I think it's probably a good macro indicator. But you just got to remember that MDI, unlike ethylene, benzene or some of the other chemicals that are traded, the pricing of which is regional and it is all over the place.
Aleksey Yefremov: Thanks. Very helpful, Peter. In your automotive polyurethanes business, I mean, it appears that European OEMs are losing share. These are some traditionally some of your best customers, right, biggest customers in PU. How are you addressing this sort of sea change in the auto world? How are you changing your strategy in terms of going after sort of the emerging OEMs in China and elsewhere?
Peter Huntsman: Well, I think, fortunately, we have very strong regional platforms in the U.S., Europe and Asia. I think these regional platforms are probably getting stronger and stronger. With Asia, it used to be just probably four years ago, five years ago, we made more money in European auto than we did in our than we did in the other two regions combined. Today, that can be said about Asia. The relationships that we have with Asia, be it anything from a Hyundai in Korea to BYD in China and so forth, the relationship and the applications, not just in traditional applications like seating, but also now with more EVs and the sound insulation, in the materials and the battery and so forth. As we look at Asia, we make more money even though that's only 40% of our global automotive business is in Asia. We make more money in Asia than we do the rest of the world, the other regions combined. So, I think that we're -- as we look at our automotive business, it continues to be very stable for us. But again, I think under the water, there are a lot of very fast moving currents between ICE and EV, between Europe and Asia, U.S. and the rest of the world. And the global trades are going to continue to, I think, move very rapidly in those areas. We look at what the Chinese EV markets are doing in the Latin America and so forth. But rest assured that I think we have very good platforms to address EV and ICE, and to address the regional formations and that's how we've been organized and we'll continue to be organized.
Operator: Our next question comes from Salvator Tiano with Bank of America. Please proceed with your question.
Salvator Tiano: Yes. Thank you very much. So firstly, you mentioned your splitter before on the contract-by-contract base. I believe earlier in the year, you said that the new Geismar splitter wasn't really adding any EBITDA so far. So, where do we stand right now? Has it started contributing? And if not, why is that and what should we expect for 2025 on the splitter?
Peter Huntsman: Yes, Sal, so obviously both the splitter investment, but at Geismar, what really needs to happen to get the full benefits of that splitter is a return from a consumer perspective on areas such as furniture. Auto needs to be quite a bit stronger in North America as well. And so, as our deep and coating, some of which ends up on the consumer side. And that really needs to be a lot stronger in order to benefit substantially from that split of investment. We still expect that to happen over time. That's not the issue. It's all around timing. It's all around the consumer confidence that Peter spoke about. If you think about next year, maybe $10 million to $15 million year-on-year benefit. But that's really dependent upon how our furniture market develops, how automotive develops, as well as how our adhesives and coatings develop.
Salvator Tiano: Okay, perfect. And I also wanted to check a little bit on the Chinese end market, especially because, I guess, there's always -- there is a stock and there's new stimulus measures, but they don't really necessarily seem to probe the new housing market. If anything, there seem to be incentivizing new contraction to boost, I guess, existing home stock prices. So, when we think about your MDI and polyurethanes business there, can you talk a little bit about your end markets and how they differ versus your U.S. and European business?
Peter Huntsman: Well, I think in China, we are -- again, we see a very much -- a very fast-growing automotive market and that's an area of benefit for us. We are pretty small there in residential housing. Again, it's a growing market for us. When you look at the insulation side of it and the building material side of it and so forth, consumer spending has been rather anemic in China. We also spend or also sell quite a bit into large infrastructure projects. So, when you think about central heating, central insulation, water, road maintenance, pipeline maintenance and so forth, electrical build out infrastructure. That's obviously in some of the other areas outside of polyurethanes as well. But as we look at those large projects that are going across China, we continue to see a lot of demand in that. So for us, infrastructure spending, automotives were both very good right now as we look in Asia. We're seeing some good growth in the Asian markets and adhesives, coatings, elastomers market. But again, as we look into 2025, hopefully, we start to see some recovery in the housing market in China and that will obviously be the catalyst for furniture, appliances, a lot of consumer spending and so forth. And that kind of just has that knock on effect. But it's going to be, as I said in my earlier comments, it's going to be a slow and gradual recovery in this area in China.
Operator: Our next question comes from John Roberts with Mizuho Securities. Please proceed with your question.
John Roberts: Thanks, Peter. Since it's Election Day, do you think Trump versus Harris win will have any impact on Huntsman?
Peter Huntsman: No, not really. And as I look, it's definitely going to be Donald Trump versus Donald Trump. I mean, I think 80% of the people voting are probably either voting for or against Donald Trump. So, it will really be interesting to see which Donald Trump wins or loses the election. But as you kind of come out, I think both candidates, when you really look at it, have pretty similar views that housing needs to be something that is going to be a major catalyst to keep U.S. economy going in 2025 beyond. Tariffs and trade, surprisingly, as much as the rhetoric that's been going along both lines, Trump put in a number of tariffs. And I'm not sure that Biden changed any of those tariffs over the last four years. And energy conservation is probably going to be very high on both of their lists. So, I think housing tariffs, energy conservation probably pretty common between the two. I think there's a split on obviously regulation and how the Chevron ruling and so forth. how that actually impacts our industry corporate taxes, the IRA and carbon tax and so forth. There's some real differences on that. And unfortunately, I don't think either candidate is beginning to address the £900 gorilla in the room, which is our national debt, which is for the first time exceeding our GDP. And that's in spite of the GDP growing as rapidly as it has last couple of years. So, I don't see any either one of them materially changing the outcome of our business plan here over the course of next year or so.
John Roberts: Okay. And then maybe, a little bit more lower level question. But have you set your turnaround plans yet for 2025?
Peter Huntsman: I believe that we have -- I'm not sure that I have that right in front of us. I think that the one that we do have on the docket is the end of the first quarter, I believe, we've got what we call the cluster turnaround. It's been called a whole variety of things involving the word cluster. But as you look at Rotterdam and our site there, there's four or five very large chemical plants that all come down at the same time. None of us can operate till the last one when the first one shuts down, the last one starts up. And so, we may be have a record turnaround maintenance timing and be set and ready to go when somebody's got a small leak in a pipeline somewhere and delays everything by a week or two. But right now that is one that we're planning for at the end of the first quarter of next year.
Operator: Our next question comes from Hassan Ahmed with Alembic Global. Please proceed with your question.
Hassan Ahmed: Good morning, Peter and Phil. Not to bore you guys, but just wanted to go back to a bunch of the questions that were asked about the European restructurings going on, assets being put up for sale and the like. I mean, look, one of the virtues obviously of the polyurethane sort of story has been, it's obviously an oligopoly, right? And if I heard your comments correctly, it sounds as if you are leaning towards at least some of these assets being permanently shut down. So, my question I guess is that looking at the Covestro deal and I obviously understand a different company and the like, you have no idea what ADNOC is thinking. But I mean, how do you think about players like ADNOC, other sort of state players or Asian players coming out, buying up those assets and fragmenting an otherwise relatively consolidated industry?
Peter Huntsman: Well, yes, it's a very good question and very complicated one. In many sense, I am not sure that ADNOC really changes the dynamics. I mean, you are just having the name of one company, Covestro, being changed to another one, ADNOC. If they decide to build in the Middle East or if they decide to build a new facility, I mean, you're probably looking at anywhere from six years to eight years away between the -- in the time that it would take to build a facility somewhere, even if it's in addition to an existing site, given the opposition that you see in large scale chemical production and so forth. So, I'm really not sure that unless you saw splintering that took place of a company, I'm not sure that the whole ADNOC-Covestro deal really changes those dynamics any.
Hassan Ahmed: Fair enough. Fair enough. And a question around inventories, obviously, the last couple of years since corrugate have been quite complex. I'm just trying to sort of figure out how one should think about a potential inventory restocking. I mean going back to the COVID times; it seems demand patterns change dramatically, because of lockdowns and the like. But it also seems now corporate's appetite for holding inventory has changed as well. So, how does one think about a restock in light of some of these demand sort of pulls and tugs vis-à-vis maybe, potentially companies sort of thought processes about sort of keeping inventories lean and maybe, sort of moving in that direction? I mean, how does one think about a potential restock with all these sort of moving parts?
Peter Huntsman: Well, we came out of the maximum question, so we came out of COVID, obviously with the supply chain; it was busted in many areas around the world. And I think that there was a -- the capital was relatively cheap and companies had large amounts of inventory, while demand was strong, inventories were very high and people thought they typically do during these sort of times that these things are going to continue forever. I think that when you look at the environment today, it's 180 degrees difference. Capital now is king. It's expensive. People don't want to tie inventory up or capital up. Demand seems to be anemic in a lot of areas of the world, so why keep a lot of inventory. And until I see demand picking up, there's no point in restocking. And on top of all that, in spite of conflicts in the Middle East and so forth, energy prices have been relatively flat for the last, I shouldn't say flat, they've been relatively stable over the course of the last year or so. And you haven't seen a terribly volatile market that way. So, until there is genuine demand in a particular region, I'm not sure that there is going to be widespread restocking. I will predict though that if and when that does happen, the chemical industry usually needs a lot more time to build up our supply. If all of a sudden, you saw interest rates drop and all of a sudden housing takes off in North America, these are supply chains that typically take a quarter or two to get going. And that's usually what causes prices, which normally would gradually go up over a four or five-quarter time period, all of a sudden it spikes up in one or two quarters. So, there's usually a mismatch between how quickly that restocking and panic buying takes place, and the actual catalyst that causes that.
Operator: Our next question comes from Kevin McCarthy with Vertical Research Partners. Please proceed with your question.
Kevin McCarthy: Yes. Thank you and good morning. Peter, can you speak to how you see international trade flows today in MDI and perhaps maleic anhydride and how they might evolve if tariffs were to escalate in that scenario bilaterally between?
Peter Huntsman: Yes. I think they'll probably remain pretty much the way they are today. The U.S. has about a 30% tariff, give or take a few points on MDI and on maleic, and a number of other products. And so, those people that are importing in today, I don't see tariffs going up through the roof. I don't see them disappearing or necessarily coming off, depending on some recently filed cases in certain products and so forth, you might see them go up a bit. But largely with the exception of Wanhua in China that has all the production in China, the exception of a single European site, they're obviously moving product around the world. They have for years and they'll continue to do so. But the trade flows from most of the producers of MDI that have regional production, I see that as continuing and there's not a great deal of trade flow in MDI from one region to the next. I would say the same is probably true with maleic and with most of the other products we produce. I would say the exception of that with maleic would be what you see in China, there is a quite a lot of overcapacity in China for maleic. That was supposed to be the raw material for a biodegradable plastic that's coming on stream a little bit slower than I think most people anticipated. But nonetheless, some of that maleic is spilling over in Europe. Other than that, I think most products are staying within region.
Operator: Our next question comes from Mike Harrison with Seaport Research Partners. Please proceed with your question.
Mike Harrison: Hi. Good morning. You mentioned some new business wins in North America polyurethanes. I was wondering, I guess if you can speak to specifically what markets those are occurring in? And if they are in construction, can you maybe just talk about your competitive position within construction and insulation markets? Has that improved compared to a few years ago? Maybe, also wrap in an update on spray foam insulation adoption today versus a few years ago? Thank you.
Peter Huntsman: Yes. In construction, it's mostly and I would say, kind of three buckets, if you will. One is going to be what we see in the OSB into the wood market that goes into construction, what we see in insulation going into construction. I think in both of those positions, we have very stable positions and positions, where we're not just selling molecules, but we're also selling solutions to the customers. The third area, I would say, would also be in furniture and appliances and so forth. While we don't supply a lot of material that goes into appliances and some of the low-end furniture applications, others do. And that sucks a lot of MDI out of the market that goes into that kind of third bucket of construction. Oftentimes, when we focus on construction, we're talking about OSB. But construction and housing also takes up a lot of MDI in other areas that aren't necessarily big markets for Huntsman, but are for others. And it's a good drain for the product generally.
Mike Harrison: All right. And then within Performance Products, can you talk a little bit or give us an update on the Performance Amines capacity expansion? I believe there are two projects going on, one for semiconductor applications and the other one in polyurethane catalyst. Are those in qualification right now and you guys are working to get some off take in place? Just wondering when we can expect to see some commercial contribution from those two projects?
Peter Huntsman: We're hoping to have the polyurethane catalyst business and the means expansion in PETRODO, Hungary. We believe that, that project should be done around year end and then you're looking for a couple of months for qualifying those materials to be going into various applications and so forth. And we are completed with our other performance products expansion that's going to ULTRAPURE solvents and amine products will be going into the cleaning and the treatment of chip production. And we're in qualifying phases right now with those materials. That project is done, is operating and as we get those products qualified, there's not a given time on that. Usually, it's anywhere from three months to nine months on those and we started that process this past summer. So, I would say early next year that we ought to start seeing some revenues coming in from the ULTRAPURE amines production.
Operator: Our next question comes from Arun Viswanathan with RBC Capital Markets. Please proceed with your question.
Arun Viswanathan: Great. Thanks for taking my question. I hope you're doing well. I guess I just wanted to ask a little bit more about what you see in '25. So, both first half and second half of '24, you're around $200 million or so of EBITDA in that range, maybe a little bit higher. But as you look into '25, I mean, would you say that you took extra inventory out in Q4 or parts of '24, it looks like you're kind of lean and ready to really grow substantially in a recovery scenario? Or do you see '25 kind of evolving similar to what you saw in '24? We have seen some emerging weakness in auto, industrial and aero. And so, I'm just wondering if you would require more destocking in certain of those areas or your customers would or if you're more poised for to really deleverage the recovery? Thanks.
Philip Lister: Yes. I think as we look at the overall business today, our inventory is low and they're going to be low in lean going into 2025. And I just don't think it's our responsibility to be building up inventory to cushion for our customers. We'll have sufficient product to supply them. But at the same time, I'm going to tie up our capital and hoping that they eventually come about to buy the materials. As we look at automotive, again, I think that we'll probably see a pretty flat U.S., Europe sort of environment. And I think that we're going to continue to see strong demand coming out of Asia and China in particular, and the rest of the world. So, much of this is again, predicated upon what I see as the major drivers. North America is going to be around housing. China, the areas, where you can see material growth, it's going to affect our bottom line and that's going to be around housing in North America. It's going to be around consumer confidence in China. And eventually, it's going to see a resurgence of European GDP and European spending just across the board. And again, I see more opportunities for that to happen. There seems to be a pent-up demand right now, particularly in housing in North America, as many people have been speculating about this now for the last couple of years. And I would say the same also with China. Since the COVID lockdowns have ended in China, we really haven't seen consumer confidence and consumer spending return to China. And I think there's quite a bit of catalyst and opportunity for growth on that. But as we go into 2025, we're going to be taking costs out of our business. We're going to have low inventories and we're going to be running very lean.
Peter Huntsman: And if I could just clarify -- thanks for that, if I could clarify, so the move maybe from Q3, $130 million or so of EBITDA down to $75 million at the midpoint for Q4, how much of that would you characterize, is that mostly seasonality or has there been some -- I imagine there could be some incremental demand weakness in there as well or would you say that's mostly seasonality? And is there any like related inventory clearing out charges that are kind of embedded in there as well?
Philip Lister: Yes. There will be some inventory charges in that number that will be the kind of reversals is a benefit that we saw in Q3. But most of this is going to be seasonal and just seasonal slowness. Now again, if we don't see that seasonal slowness, there might be some upside here. I would personally -- we typically always see seasonal slowness in the fourth quarter. There's been one or two fourth quarters in the last 15 years we haven't seen that. But I think given where we are today, I think we feel pretty confident about our fourth quarter numbers. As we kind of get in here to the end of the year, we look at the stimulus that's taking place in China. We look at the rate cuts around housing, and that housing stocks, I mentioned earlier. And I think as we also look at the MDI capacity utilization continuing to improve, I think going into 2025, personally I have a lot more optimism than I do pessimism. The cost actions that we've taken in the past year-on-year, our SG&A is flat in spite of over the last 12 months to 18 months, multi-decade long inflationary highs. And we continue to have a very strong balance sheet. And so, as I look at these positives going to 2025, Arun, I have a lot more optimism than I do pessimism.
Peter Huntsman: And operator, why don't we take one more question, because I think we're coming to the top of the hour here.
Operator: Absolutely. And that question comes from Laurence Alexander with Jefferies. Please proceed with your question.
Daniel Rizzo: Hey, this is Dan Rizzo on for Laurence. Thank you for fitting me in for a second here. So, I was seeing that the Boeing strike just ended and I think you mentioned that, that strike was a $3 million to $4 million EBITDA headwind in the quarter. So, if it ends today or ends within the next couple of days, does that provide upside? Or how does that kind of flow through to you guys for Q4 and beyond?
Peter Huntsman: I'd love to see it affect that quickly. But you can only make a plane having had the opportunity to tour Airbus and Boeing, and Chinese manufacturers. You can only make a plane as fast as the slowest component, the slowest part arrives. And so, you might as you go to some of these manufacturing sites, you'll see a lot of our inventory is sitting in wings that are waiting to go on planes. The planes are being delayed, because they're waiting for a $50 fasteners to arrive to be able to put seats in and so forth. So, I would assume given the problems that we've seen in the aerospace supply chain, where more and more of the construction of an airplane is now being subbed out to third parties. This is -- the strike will not necessarily be back to normal in a week or two. I think we'll be lucky to get back things back up in line and going by the end of the year. Again, that's not to say that I'm not saying anything about what Boeing's production is going to be. I am saying that by the time Boeing gets things up and moving, our demand starts picking up. The customers that we supply to the customers that then subsequently supply Boeing, by the time that hits us, it's probably going to be closer to year end than it is today.
Daniel Rizzo: Thank you very much.
Peter Huntsman: Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.